Operator: Good morning, ladies and gentlemen and welcome to Cohen & Company's Fourth Quarter and Full Year 2018 Earnings Call. My name is Laurie and I'll be your operator for today. Before we begin, Cohen & Company would like to remind everyone that some of the statements the Company makes during this call may contain forward-looking statements under applicable securities laws. These statements may involve risks and uncertainties that could cause the Company's actual results to differ materially from the results discussed in such forward-looking statements. The forward-looking statements made during this call are made only as of the date of this call and the Company undertakes no obligation to update such statements to reflect subsequent events or circumstances. Cohen & Company advises you to read the cautionary note regarding forward-looking statements in its earnings release and in its most recent Annual Report on Form 10-K filed with the SEC. I would now like to turn the call over to Mr. Lester Brafman, Chief Executive Officer of Cohen & Company.
Lester Brafman: Thank you, Laurie and thank you everybody for joining us for our fourth quarter 2018 earnings call. With me on the call is Joe Pooler, our CFO. Although disappointed with the financial results for the quarter, we continue to make good progress on executing our strategic priorities. This includes the GCF repo business, the U.S. insurance asset management, and residential transition loan businesses. To that end, during the quarter, we increased the size of our GCF repo book by over $600 million and earned $2.1 million of new issue revenue from U.S. insurance asset origination. These businesses will help us diversify our Company and grow revenue across variety of business segments. We remain committed to enhancing stockholder value, and in the fourth quarter we continued to pay our quarterly dividend and repurchase shares. Now I will turn the call over to Joe to walk through this quarter's financial highlights in more detail.
Joe Pooler: Thank you, Lester. I will begin with our statement of operations. Our operating income was $2.3 million for the quarter, compared to $356,000 for the prior quarter and $2.1 million for the prior year quarter. Our income before income taxes was $6,000 for the current quarter, compared to a loss of $1.8 million for the prior quarter, an income of $251,000 for the prior year quarter. And the net loss attributable to Cohen & Company was $418,000 or $0.37 per diluted share for the current quarter, compared to a net loss of $651,000 or $0.57 per share for the prior quarter and net income of $1.5 million or $0.90 per diluted share for the prior year quarter. Net trading revenue came in at $9.1 million in the fourth quarter, up $2.3 million from the third quarter and up $2.4 from the fourth quarter of 2017. Our asset management revenue totaled $4.7 million, up $1.9 million from the prior quarter and up $3 million from the year ago quarter. The fourth quarter of 2018 included $3 million of subordinated management fees in arrears recorded and received due to the successful auction and liquidation of the Alesco II CDO in October of 2018. The favorable variance from the prior quarter was reduced by the $1.1 million of onetime incentive fees in our European managed accounts recorded during the third quarter of 2018. There was $2.1 million of new issue and advisory revenue in the current quarter, which was related to the origination of U.S. insurance assets. Fourth quarter 2018 principal transactions revenue was negative $466,000 down from both the prior and year ago quarters, primarily due to unfavorable marks on our investments in CLOs, EuroDekania and certain other equity positions we own. Compensation and benefits expense for the quarter was $6.4 million down $752,000 from the prior quarter and up $1.4 million from the prior year quarter. The quarterly changes were primarily the result of the variable compensation model we have in place and relate to our variations in net trading, new issue and advisory and asset management revenues from the comparable periods as well as headcount changes. Compensation as a percentage of revenue was 41% in the fourth quarter of 2018 compared to 59% in the third quarter of 2018 and 43% in the fourth quarter of 2017. The number of Cohen & Company employees was 88 as of the end of the year, compared to 86 at the end of the third quarter and 88 at the end of 2017. Professional services and other operating expenses were $3.9 million during the quarter, an increase of $2.4 million from the prior quarter and $2.2 million from the year ago quarter. Both increases were the result of $1.2 million finder's fees paid related to the origination of U.S. insurance assets that led to the new issue revenue during the quarter and the $1 million sub-advisory fee paid related to the receipt of the $3 million of subordinated fees in arrears. Net interest expense for the fourth quarter was $2.3 million including $897,000 on our two trust preferred debt instruments; $503,000 on our 8% convertible notes and $782,000 on our redeemable financial instruments. In terms of our balance sheet at the end of the year, our total equity was $42.4 million, a decrease of $5.7 million from December 31, 2017. Total assets continue to grow based on the growth in our matched book repo businesses. At the end of the year, our mortgage group had on the balance sheet about $388 million of gestational matched book receivables under resale agreements and $4.8 billion of GCF matched book receivables under resale agreements. At the end of the year, consolidated corporate indebtedness was carried at $43.5 million. Our redeemable financial instruments were carried at $17.4 million and we had $14.1 million of unrestricted cash on the balance sheet. We've announced a $0.20 dividend for the quarter and we'll continue to review the dividend policy on a quarterly basis. The dividend is payable on April 3, 2019 to stockholders of record on March 20, 2019. Finally, we expect to file our 10-K no later than Friday, March 8. With that, I will turn it back over to Lester for closing remarks.
Lester Brafman: Thanks Joe. Please direct any investor questions to Joe Pooler at 215-701-8952. His contact information is at the bottom of our earnings release or via email to investorrelations@cohenandcompany.com. Thank you for joining us today. Operator, you can now end the call.
Operator: Thank you. That does conclude the Cohen & Company’s fourth quarter 2018 earnings conference call. You may now disconnect.
Q - :